Operator: Good day, everyone, and welcome to this Manitowoc Company Inc. Fourth Quarter and Year-end Earnings Conference Call. Today's conference is being recorded. At this time, for opening remarks and introductions, I'd like to turn the call over to Mr. Khail. Please go ahead, sir.
Steven C. Khail: Good morning, everyone. Thank you for joining us today as we discuss Manitowoc's fourth quarter earnings and our outlook for 2012. Participating in today's call will be Glen Tellock, our Chairman and Chief Executive Officer; Carl Laurino, Senior Vice President and Chief Financial Officer; Mike Kachmer, President of Manitowoc Foodservice; and Eric Etchart, President of Manitowoc Cranes, who is joining us from our offices in Paris. Glen will open today's call by reviewing our 2011 accomplishments, Carl will then discuss our financial results for the fourth quarter and provide our initial guidance for 2012, then our segment presidents will offer insights into the market conditions and outlooks for their businesses in 2012. For anyone who is not able to listen to today's entire call, an archived version of this call will be available later this morning. Please visit the Investor Relations section of our corporate website at www.manitowoc.com to access the replay. Before Glen gives his commentary, I would like to review our Safe Harbor statement. This call is taking place on February 1, 2012. During the course of today's call, forward-looking statements, as defined in the Private Securities Litigation Reform Act of 1995, will be made during each speaker’s remarks and during our question-and-answer session. Such statements are based on the company's current assessment of its markets and other factors that affect its business. However, actual results could differ materially from any implied projections due to one or more of the factors explained in Manitowoc's filings with the Securities and Exchange Commission, which are also available on our website. The Manitowoc Company does not undertake any obligation to publicly update or revise any forward-looking statement, whether as a result of new information, future events or other circumstances. With that, I'll now turn the call over to Glen.
Glen E. Tellock: Thanks, Steve, and good morning, everyone. We are pleased to report strong fourth quarter results that marked an end to what was truly a transitional year for Manitowoc in 2011, culminating with impressive year-over-year sales growth of 25% in the fourth quarter. Despite some unexpected turbulence during the year, our focus on execution, coupled with continued progress against our strategic initiatives, helped us reach most of our full year 2011 expectations. In fact, both of our industry-leading businesses delivered higher year-over-year sales and operating earnings, a testament to our ability to navigate an increasingly uncertain global economic environment and fluctuating demand levels that lingered across our markets for a large portion of the year. Looking at our segment performance. Foodservice continued on its stable and consistent trajectory during the fourth quarter, posting year-over-year sales growth while maintaining healthy margins. Contributing to the positive performance was the market success of our Merrychef ovens and Indigo ice machines, which were launched earlier in the year. The combination of our product offerings within Foodservice, leveraging existing customer relationships and a diverse global footprint has afforded us significant opportunities to drive continued growth in this segment as we move into 2012. In our Crane segment, the fourth quarter represented the highest year-over-year sales growth since 2007. We also experienced strong order intake levels in the quarter, which will further contribute to our growth as we look ahead. In terms of geographic demand levels, the fourth quarter was similar to previous quarters, with the largest increase in demand occurring in the Americas region, complemented by stronger activity in select emerging markets and the Greater Asia Pacific region. We are encouraged by the activity levels in the fourth quarter, which underscore our belief that we will see continued growth in 2012. Turning to the new year, our 7 company-wide strategic imperatives remain unchanged. Over the last 12 months, we have spent a fair amount of time providing detail on these initiatives, specifically around innovation, growth, after-market support and operational excellence. As we close out 2011, I want to quickly touch on our customer focus imperative, which remains critical to our positioning in the market and as a key ingredient for our long-term success. For example, project one remains a key initiative in Cranes. While we had curtailed this ERP initiative during the recent recession, this vital project ramps back up to full speed in 2012 with a team of seasoned individuals that will launch implementations for our Crane facilities in Brazil and France, complimented by a global launch spend in our Crane Care operations. In Foodservice, we will open new test kitchens in India and Singapore to support our customer growth aspirations in these key emerging regions. In support of our strategic imperatives, I want to highlight a few additional initiatives as we move into the new year. First, our new 225,000-square foot manufacturing facility in Brazil, which is expected to begin production by midyear, will position us well to support the broad-based opportunities throughout Latin America. Consistent with our first mover advantage with tower cranes in China and India, Manitowoc will be the first global crane manufacturer to produce rough-terrain cranes in this part of the world. Innovation continues to be a primary focus across the enterprise, as evidenced by the 12 new Crane products and 50 new Foodservice products in 2011. That said, we continue to work diligently to offset select competitive pressures in areas such as product cost take outs and factory efficiencies. For example, we recently introduced a new crane design with 1,400 fewer parts than its predecessor. These aspects of the business, coupled with our technological improvements, quality initiatives, productivity enhancements and aftermarket product support will continue to be competitive drivers and key components of our strategic emphasis. Lastly, we remain focused on improving the strength of our capital structure. We have a much stronger balance sheet today as we repaid over $1 billion of debt since the Enodis acquisition. As a result, our debt to EBITDA ratio has improved by more than one turn of leverage. This, coupled with the refinance of our bank credit agreement in May, provides us with the flexibility to make the necessary investments in our business and pay down debt as we sustain -- as we drive sustainable long-term growth. In conclusion, 2011 paved the way for continued success in 2012 as we look to capitalize on activity driven by large infrastructure and energy projects in Crane and momentum from new product launches in Foodservice. Our proven history to manage the company through all business cycles positions us extremely well as we move into an expected growth environment in 2012. I will now turn the call over to Carl to discuss our detailed fourth quarter financial results and to share our thoughts on initial guidance for 2012. Carl?
Carl J. Laurino: Thanks, Glen, and good morning, everyone. Yesterday, we reported net sales for the fourth quarter of $1 billion, which is an increase of over $204 million or 25% from the fourth quarter of 2010. The year-over-year increase in net sales during the fourth quarter was driven primarily by a 40% increase in Crane segment sales coupled with a 2% increase in Foodservice. Fourth quarter 2011 consolidated operating margin before amortization was 6.4% versus 7.3% in the fourth quarter of 2010. The year-over-year margin decrease resulted from market pricing issues, material cost increases, equity compensation costs and a challenging comparable in Cranes, partially offset by favorable product volume benefits. GAAP net income for the fourth quarter was $15.3 million or $0.12 per share versus a net loss of $66 million or $0.50 per share in the fourth quarter of 2010. Fourth quarter of 2011 EPS, excluding special items, was $0.14 per share versus $0.10 for the prior year quarter. During the fourth quarter, we posted cash flow from operations of $196 million versus $157 million in the prior year quarter. Our cash flow from operations was impacted by higher working capital needs to support increased Crane activity. Looking into 2012, we will remain focused on meeting our cash flow targets as we continue to prioritize debt repayment while also funding strategic growth opportunities. Moving to the balance sheet. We reduced our debt by $212 million during the quarter, bringing our full year debt reduction total to $140 million. We continue to manage working capital to ensure we maintain an appropriate balance between our ability to meet growing customer demand and our debt reduction goals. Turning to our segment results. Foodservice sales in the fourth quarter of 2011 totaled $347 million, a 2% increase from a year ago. Fourth quarter 2011 operating earnings in Foodservice were $45 million, up 13% from $40 million in the same quarter last year. Operating margins of 12.9% were 120 basis points higher than fourth quarter 2010, driven by LEAN initiatives, product mix and scale economies. Moving to the Crane segment. Fourth quarter sales totaled $688 million, up 40% from $491 million in the fourth quarter of 2010. This quarter's results reflect the continued growth in the Americas region and stronger demand in most emerging markets. Despite the positive momentum experienced in the fourth quarter, we continue to experience broader-based supply chain constraints in the Crane segment. As we announced in December, our quality assurance program identified an issue with a specific hydraulic component which, in turn, delayed the shipment of some Crane products into the first quarter of 2012. Our fourth quarter results were in line with our expectations to remediate this issue, and we expect all pent-up shipments to be made this quarter. Overall, Crane segment operating earnings in the fourth quarter were $40 million versus $31 million in the same quarter last year. This resulted in fourth quarter Crane segment operating margins of 5.7%, down 50 basis points from fourth quarter of 2010 margins. The year-over-year comparison was positively impacted by the higher sales volume but fully offset by material cost and production inefficiencies due to the previously mentioned supply issue. Also, fourth quarter 2010 Crane margins benefited from an approximate $5 million inventory revaluation. Crane backlog at quarter end was $761 million, which grew $189 million or 33% compared to a year ago. This was driven by higher order activity throughout 2011, including new orders of $676 million during the fourth quarter, our highest level since the third quarter of 2008. Before concluding my remarks, let me discuss our 2012 outlook. For the full year, we expect Foodservice revenues will grow in the high-single digit range, and year-over-year operating earnings will increase 10% to 15%. In Cranes, we expect a 10% to 15% year-over-year revenue growth. We anticipate a benefit from our dealer network in North America in the first half of the year as they prepare for year-end market recovery as the year progresses. As a result, our full year Crane operating earnings are anticipated to grow 30% to 40% over the prior year while also exhibiting more normal seasonal characteristics. Our 2012 financial expectations include capital expenditures of approximately $80 million, depreciation and amortization of approximately $120 million and interest expense reduction between $25 million and $30 million, plus a debt reduction target range of $150 million to $200 million, which should reduce our debt to EBITDA by approximately one additional turn. Let me now turn the call over to our next speaker, Mike Kachmer, who will share his thoughts concerning our Foodservice segment. Mike?
Mike Kachmer: Thank you, Carl. 2011 was a promising year for our Foodservice segment, driven by our diverse customer base that includes many of the fastest-growing and most innovative companies in the world. Our customers, who operate in more than 100 countries, come to us for solutions that allow them to improve their menus, enhance their operations and reduce their cost. Our long-term vision and strategy continue to take shape, enabling our teams to execute on our most critical priorities. From a financial standpoint, our fourth quarter results were solid. Our sales growth was balanced across all markets and geographies and was coupled with year-over-year margin expansion. From a geographic perspective, North American demand rose during the fourth quarter, primarily driven by our large U.S. chain customers. In addition, demand in the emerging markets, notably China, continued to increase at the end of 2011. We will further deploy resources into that region as domestic customers seek international growth, primarily through new store expansion as well as new menu initiatives. In fact, one key initiative for 2012 is the creation of subregions in our emerging markets that will result in greater focus and accelerating growth. Specifically, we carved out Southeast Asia from North Asia while also investing additional resources in Africa, the Middle East, India and Latin America. Overall, we believe creating these subregions fits our strategy, supports our continued investment in the business and enhances our trajectory for growth and improved profitability. In 2011, our investments in new product development and innovation yielded approximately 50 new products, including our Indigo ice machine platform, which received the Kitchen Innovation Award at the NRA tradeshow and a Dealer Design Award from the News HVAC publication. We also introduced a variety of technological enhancements for our Merrychef ovens and blended beverage product categories. In addition, our oil-conserving fryer by Frymaster continues to gain market share from our leading chains, which realized substantial cost savings from reduced oil and energy use. Looking into 2012, our product launch initiatives remain compelling as we continue to invest in all categories and brands with specific focus on ice machines, beverage, oil-efficient fryers and accelerated cooking products. The combination of our product offerings, customer channel relationships plus an unrivaled global footprint provides significant opportunities to drive additional growth. This year, we will also continue implementing LEAN disciplines to enhance operating efficiencies and create state-of-the-art manufacturing processes. Our actions on this initiative have been a catalyst behind our results since acquiring Enodis, which has included the closure or sale of 5 facilities in Europe, the consolidation of 3 facilities in North America and 1 in Asia. While market pressures remain, we expect moderate growth entering 2012, which will be achieved by gaining market share from our competition with our best-in-class brands, embracing key growth areas as customers make new investments in their businesses, enhancing our great sustainability initiatives and leveraging multiple global opportunities as the market expands. With that, I'll now hand the call off to Eric Etchart for his views and outlook on the Crane segment.
Eric P. Etchart: Thank you, Mike. Although we classified 2011 as a transition year, we made significant progress in the fourth quarter with strong order intake and impressive year-over-year and sequential revenue growth. As Glen highlighted earlier into this call, we experienced strong activity in the Americas region as well as higher demand in emerging markets and the Greater Asia Pacific regions. As we have seen over the past few quarters, demand is being driven by energy and infrastructure projects, which should continue for the foreseeable future. We also continued to experience weakness in much of Europe and slowing growth in China. From a product line perspective, large rough-terrain cranes and all-terrain cranes were up [indiscernible] in the quarter. In addition, boom trucks in North America were strong, which was driven by new product introductions. Tower crane activity remained high in emerging markets and parts of the Greater Asia Pacific region, and consistent with other views, crawler cranes activity continued to remain relatively soft during the fourth quarter. During 2011, we introduced 12 new Crane products, including the Igo T-130 tower crane, the Grove RT9150 rough-terrain crane and the National NBT 55 boom truck. We expect to see the benefits of these new products throughout 2012. In addition, we will announce even more products, more new products, in the coming year to maintain our innovation initiative and to enhance our competitive position globally. We firmly believe these new products will be a great investment for the company in terms of quality, reliability and technical features. On that note, during 2011, customers started to recognize the quality initiative we started roughly 3 years ago as our Lean Six Sigma principle drove improved quality and product reliability, as well as greater operational efficiency to help reduce waste, improve lead times and become a more efficient and profitable business. As a result of these initiatives, our market share for rough-terrain cranes continues to improve and is now at record levels, most notably in the Americas region. Building on that success, we have recently opened a product verification center in Shady Grove. This new facility not only accelerate our speed-to-market for new products but will improve our product quality metrics and provide quicker validation of new electrical, hydraulic and mechanical systems, while also reducing our warranty expense and creating greater customer satisfaction. Moving on, I want to briefly touch on our Crane Care business, our aftermarket strategic imperative, as we firmly believe that Crane Care is and will remain a key differentiator for Manitowoc. To enhance our current platform, I am proud to say that we recently opened a new call center in India in Pune, which now brings our call center network to 6 locations. Each call center is staffed and equipped to provide a full range of service and support solutions for all model of Manitowoc [indiscernible] cranes. Crane Care's success was even more evident in the fourth quarter as our solid year-over-year improvements were driven by more cranes going back to work and customer ordering more spare parts. We believe 2012 will be another year of growth, driven by new product introductions, solid growth in various emerging markets, notably South America and Greater Asia Pacific, coupled with good activity throughout areas of North America. Despite some general market weakness, particularly in Europe, our sound and strategic focus through all stages of the economic cycle will continue to drive performance and profitability for the Crane business. With that, I return the call to Glen for his closing comments. Glen?
Glen E. Tellock: Thanks, Eric. To conclude, when you look at our strategic accomplishments through what was a transitional year, it is clear that we have the right strategy, the right infrastructure and the right people in place to drive long-term growth and success, and we will continue to do so throughout 2012. We have proven our ability to manage through the cycle. Even with the momentum gained at the end of 2011, a challenging operating environment still remains. However, our actions and strategies implemented over the last several years have set the foundation for balanced growth in 2012 as we continue to deliver on our initiatives throughout our business that will expand our leadership position, drive shareholder value and enhance our improving financial position. This concludes our prepared remarks. James, we will now begin our question-and-answer session.
Operator: [Operator Instructions] And we'll take our first question from Seth Weber with RBC Capital Markets.
Adam Nielsen - RBC Capital Markets, LLC, Research Division: It's Adam on for Seth. Question on the cadence through the quarter of Crane bookings, it's quite strong. And as you indicated in your December update, it looked like you were going to do about 570 for the quarter, so just wanted to get your thoughts on December's potential pull forward on getting ahead of pricing and what January looks like so far?
Carl J. Laurino: I'll kick that one off and if Eric has got any additional comments. I would say, yes, I think the cadence was relatively strong throughout the quarter. Obviously, we don't tend to forward project what our order flow is going to be, and obviously, with 3 weeks left in the year, we didn't want to miss that one. So we obviously continue to see some pretty good strength through the balance of the quarter as well. Don't have a sense if there was a lot of forward ordering, but we have tended to see stronger orders, from a seasonal standpoint, stronger order flow in both the fourth and first quarters of the year, has been our history.
Operator: Our next question will come from Robert McCarthy with Robert W. Baird.
Robert F. McCarthy - Robert W. Baird & Co. Incorporated, Research Division: Can I ask you to talk a little bit more about what you're seeing in the crawler market, specifically? And I think it'd be useful if you could contrast the U.S. with abroad. I mean, what I'm fishing for is what you're seeing in terms of order prospects. Do you expect orders to actually increase this year? Do you have any -- what are your expectations for revenue? Because it, obviously, affects mix and profit margin.
Glen E. Tellock: Yes, we'll touch on that, Rob. I would say when you look at the crawler market, the -- it's the one that -- it's the lag when the market's rather down and it's also the lag when the markets are going up. So we talk about the mobile hydraulics, and I think you saw that in the fourth quarter and in all of 2011, the crawlers are still the one -- even in the U.S., still lags some of the peaks that we've seen in the past. So we haven't seen that order trend upward that significantly. And so as we've mentioned, the mobile hydraulics being the more robust product line, towers are okay, but not great. I know that you talk about the U.S. market, and that's where you're concerned. I don't think 2012 is a lot different than 2011 when it comes to the crawler market. And towers, I think what is nice for us to see is I think the rental utilization of towers is up as are the cranes. I think it's just a matter of now the business picking up before the actual -- our -- the rental companies have to pick up a bit in their utilization for longer term and then our business will pick up. But I see it a lot consistent in 2012 with 2011.
Robert F. McCarthy - Robert W. Baird & Co. Incorporated, Research Division: So I take from that, Glen, that even globally you haven't seen an uptick yet?
Glen E. Tellock: Well, you're seeing it in -- again, it's the emerging markets. I think you still see it in those areas, whether it's in India, whether it's in South America, whether it's in [indiscernible] Southeast Asia. I mean, you are seeing upticks in other areas. It's just some of the mature markets is where you're not getting as much pickup. Eric, do you have any comment on that?
Eric P. Etchart: No, I concur what you say. I think the crawler cranes overall [indiscernible] rather shy versus the other product lines in general. We've seen a lot of activity on the wind side, which could be good in the U.S. as well, but we've seen activity in India and Australia as well for very specific LNG projects. But overall, that's a product line which lag the recovery of the other product lines.
Glen E. Tellock: I think, Rob, one of the things I would point out -- and I mentioned the rental utilizations. I mean, we were with a large rental company last week that -- I mean, their utilization on the crawler cranes is in the mid-90s. So it's a matter of -- now the rates are still down a bit, but I think once that comes back -- I mean, it's hard sometimes for those guys to make the numbers work right now, but that's really the critical thing for us to watch is utilization in the rental rates, which are improving.
Robert F. McCarthy - Robert W. Baird & Co. Incorporated, Research Division: Okay. I'd also like to ask about Foodservice business. It was interesting comments by Mike about planned consolidation activity that's occurred there. And as you know, Glen, we've talked about -- previously talked about the potential for Manitowoc to squeeze more efficiency out of its Foodservice platform and have even talked about some fairly heady potential savings numbers. And so I wonder if you could help reconcile all of that. I mean, is the message that you've been doing that under the covers? Or do you see a substantial incremental opportunity at some point? Or can we get some update there, Glen?
Glen E. Tellock: Let me -- I'll let Mike give some more color on it. But I think the things that -- when you look at what Mike talked about, a lot of those, it goes into 2 buckets. When we acquired Enodis, we looked at things as integration items, then they become strategy items. The integration, obviously, is behind us. So now it's what are the strategies. And as we've gotten through some of the low-hanging fruit, you're exactly right. Now we look at our global footprint. We look at where our customers are going, where are the growth areas. And there are opportunities to consolidate areas of our manufacturing operations on a global basis. So, I mean, that's -- I would say we're not trying to do it any under the radar screen. It's just some of them, as I would call them low-hanging fruits, now they're always difficult, but I mean, again, they're not the grand items. I think the bigger ones that you'll see are ones that we certainly consider and look at, and I think that at the right time, that's when we'll have conversations about those. But a lot of it is looking and managing our global footprint right now. Mike, if you want to add to that?
Mike Kachmer: Yes, I think -- Glen, just cascading off your comments. I mean, we have a multiyear vision that gets refined every quarter, and it will be a continuum of implementation. That won't be a perfectly straight line, but it will be making sure that we've got plants in the right locations to serve our customer base. It will make sure that our plants are of a proper scale, so that we have a cost structure and an efficiency structure that is very competitive. And we will deploy LEAN initiatives and state-of-the-art manufacturing processes everywhere. So what you should expect is a continued focus on this very important aspect of our business.
Operator: Next, we'll hear from Charlie Brady with BMO Capital Markets.
Unknown Analyst: This is Andrew filling in for Charlie. I was -- Carl, your comment with the hydraulic supplier issue, pent-up demand shipping in first quarter. We're kind of wondering like how much of the Crane revenues slipped into the first quarter?
Carl J. Laurino: Yes, most of what we disclosed in December was the supplier issue. We talked about impact from the work stoppage and the supply issue and most of the revenue -- I think we said $30 million. That was almost all the supply issue.
Unknown Analyst: Okay. And what kind of headwind are you guys seeing with like material costs on Cranes, kind of by how much on operating margins? And are you seeing any effects with material costs on Foodservice?
Glen E. Tellock: Well, I think, Andrew, you constantly have that. I think you saw earlier today with the U.S. Steel came out and announced their fourth quarter yesterday, I forget what it was, and them talking about price increases in the first quarter because of their losses in the fourth quarter. I mean, it's a normal process for the steel industry, not that we buy a lot from them, but it's part of that industry. So as we look at what are our pricing tactics, what are our cost take-out initiatives, I think when you look at normal commodity costs over the course of the year, I mean, I think there are general items that we put in there, whether it's looking at the aluminum commodities or copper. I mean, you can track those. But at the same time, many of the things that we can hedge, we already have hedged. And Carl can give you the specifics, but a good portion of some of the costs -- I mean, I wouldn't say -- it's certainly not 100%, but a lot of those commodities we have hedged to protect our cost as we go into 2012, so there's some insulation there. But at the same time, as we go into the year, I think we feel pretty good about where we have positioned our businesses, what we have and some of the benefits we can have over some of the, whether it’s factory efficiencies, product cost take-outs, all those things over and above some of the commodity costs. So I think we feel pretty good about that as we sit here today. Carl, if you have a comment on that?
Carl J. Laurino: Yes. I think as it relates -- it's less of an issue for us in Foodservice because of the hedging programs that we can do in some of the key materials there, copper and aluminum. We have some of that in Cranes but to a much lesser extent. We also have more of a lag effect in Cranes typically, and we saw a much greater impact from, if you want to call it, the price cost equation in Cranes than Foodservice, about $30 million in total there for the full year. We mentioned on the third quarter call that there'd probably be some spillover in that equation in Cranes in the first quarter, but that we would get on the right side of the equation in the balance of the year as we look at some of the initiatives that Glen talked about and our expectations about where these costs are going.
Operator: Our next question will come from Andrew Kaplowitz with Barclays Capital.
Vlad Bystricky - Barclays Capital, Research Division: It's Vlad on for Andy. Can you talk a little bit on what's the status of your -- the Tier IV engine integration into Cranes, whether those have fully been integrated now or whether you're still seeing some headwinds as you integrate the Tier IV engines?
Glen E. Tellock: No. It's certainly not fully integrated. I mean, we have models that will continue to go out through 2013 and '14. What happens is you go into the Tier IV interim and then the rules go into 2013 and '14 in the Tier IV final. I think what we feel better about is last year as we sat there in the first quarter, those were the first Tier IV engines. It was a lot of how long does it take to get through a new model, how long does it take to introduce a new model? I think we feel much better about the process. So no, there's still a good portion of our engineering time, and Eric can give you the specific portion of engineering hours that are required for that, but it is not behind us yet. But I think the headaches and the headwinds that we had, we probably won't see the delays and those kinds of things that we saw in the early part of 2011. Eric, do you want to talk about the engineering side?
Eric P. Etchart: Yes. Obviously, we're certainly not done as you said, Glen. We have many new products that needs to -- or products that needs to have a Tier IV interim engines. But in terms of engineering, to give you a clue, we have about 30% of our engineering resources just allocated to the Tier IV. And every basically new machine with a Tier IV engine is considered as a prototype. So that's a very considerable effort that we need to put into it. For now, we've been through so many -- some learning curves, so we feel much more confident as we enter into 2012 to integrate those new type of engines.
Vlad Bystricky - Barclays Capital, Research Division: Okay. That's very helpful. And then just a follow-up on the supply chain. I know you said that the issues in Q4 have largely been resolved. Can you talk about any other areas of tightness that you're seeing in your supply chain or any other major areas of concern that are outstanding today?
Glen E. Tellock: No, I don't think there's any glaring issues as we sit here today. I think the challenge is always -- you look at how the -- to take advantage -- and hopefully, this would be the case -- is to take advantage if the markets improve. I mean, we've given our forecast. That's what we've gone to our suppliers with, and that's where we're at. I think the challenge we always have with our supply base or anybody in the crane market because of the lower volumes versus a lot of the other construction equipment, that's a struggle we have is we're always pretty good at getting what we ask for, it's that change to get the incremental sometimes that's the bigger challenge. And so I don't think we, as we sit here today, we have any glaring issues. But who knows if we sit there in July and August if markets are improving and you look towards 2013, that's the forecast that we’re more concerned about.
Operator: Next, we'll hear from Jerry Revich with Goldman Sachs.
Jerry Revich - Goldman Sachs Group Inc., Research Division: On the Foodservice business, can you put the 50 new product introductions you had last year into context? How does that compare to the past couple of years and what you have on tap for 2012? And maybe give us a sense for new product sales contribution you're expecting in your forecast this year.
Glen E. Tellock: Well, I think when you look at -- we talked about the 50 products. I mean, in all honesty, that 50 breaks down into, if you take it by models, I mean, it goes -- it's a much greater number so we look at it and tried us some bigger buckets. But it's a constant for us, and it's one of the things that we talk about all the time. In Foodservice, you have menu changes, you have innovation that's supporting those menu changes, you have the productivity and efficiencies within the restaurants. And then at the same time, you have the food quality and the food health safety. So those all go into that, and I think last year was probably a little above average in the number of new products, but I think it's more to come in 2012. Now on the specifics, maybe Mike, if there's something you want to add in certain areas.
Mike Kachmer: Yes, I would say this. I think last year showed an acceleration from the previous 2 years because you need to keep in mind that for the previous periods, we were, to a great degree, focused on the integration of the acquisition. While we continued to spend in those periods, it did pick up last year. And while we are always investing in all of our categories and brands, each year brings some additional focus. So last year, there was significant focus around ice machines, fryers, the Merrychef speed ovens and some other select categories. So we're really in a good rhythm now where each year there'll be an increased focus of human capital and financial capital on a couple of select brands.
Jerry Revich - Goldman Sachs Group Inc., Research Division: Then on the Crane business, I'm wondering if you gentlemen can rank order for us which regions you expect to drive order growth over the next 6 to 12 months? And specifically, can you touch more on Europe and next kind of softness that you're seeing there considering we're already coming off pretty low levels? Just some more color there would be great.
Carl J. Laurino: Obviously, as we mentioned in the prepared remarks, we're seeing some nice strength coming out of the Americas, that's not just Latin America, which has been robust, really, through the financial crisis, but also contributed by North America as well. I think the comment that you made in your question about Europe is well founded. That was the region that was earliest and hardest hit by the financial crisis, and we see progress from the bottom, driven by, more probably, Eastern Europe, a little bit of Scandinavia. But Western Europe continues to be, with the exception of Germany, pretty difficult environment and outlook. Eric -- I don't know if Eric...
Glen E. Tellock: Eric, do you want to comment on any of that?
Eric P. Etchart: Well, Europe is slow as you said. We had our winter campaign for towers. It was slightly above last year but from a very low level. So outside of maybe Germany that we've seen a good level of activity, the rest is pretty sluggish. And it may stay like this for some months moving forward. Now the rest, we expect generally strong activity, as we said earlier, in North America and the rest of the emerging markets.
Operator: Next, we'll hear from Ann Duignan with JPMorgan.
Ann P. Duignan - JP Morgan Chase & Co, Research Division: Can you talk a little bit about the pricing environment in Cranes, particularly in North America? We met with Sany last week at World of Concrete and they talked about now having about 10% market share of the U.S. crawler crane market, and they're aggressively adding distributors. Can you talk about whether there is new competition out there, if that's a headwind for pricing or whether you are indeed giving pricing, particularly in the U.S.?
Glen E. Tellock: No, Ann. We've announced the price increases that we had July of last year and in the third quarter -- actually, it started late third quarter, early fourth quarter this year. So I think it's just a matter of what we talked about in the fourth quarter, they weren’t taking hold until the beginning of this year. So I mean, the orders that we have in the backlog, some of them have that pricing, some of them don't. And -- but I wouldn't say that it's being given away. 10%, your number, not ours. So I'm comfortable with where our pricing has been, comfortable with the value proposition that we offer in the Americas and comfortable with our market shares, primarily in the United States, especially with crawlers and the mobile hydraulics. So I mean, really, the competition that we see from Sany or Zoomlion or anybody else is primarily in the emerging markets. It's still not that significant in the U.S. or in the domestic markets of -- the more mature markets of Europe. But like we said for the past 3 years, I mean, they'll be here, they'll be a competitor, and we'll deal with it accordingly.
Ann P. Duignan - JP Morgan Chase & Co, Research Division: Well, apparently they are here. And the 10% price decrease, that's not my number. How much was your price increase?
Glen E. Tellock: Eric, I mean, do you want to comment on the price increases for North America last year?
Eric P. Etchart: Yes. It was between 3% to 5%, depending on the product lines.
Ann P. Duignan - JP Morgan Chase & Co, Research Division: And that included Tier IV interim engines?
Glen E. Tellock: Yes.
Eric P. Etchart: Yes.
Ann P. Duignan - JP Morgan Chase & Co, Research Division: Does that cover the cost of the Tier IV interim engines?
Glen E. Tellock: Well, the Tier IV is more of a pass-through than it's just a cost -- than it is a price increase. That's part of the battle, Ann, is do you want to get something that's Tier IV and is the customer going to pay for it or are you going to give it away? I mean, that's a business model challenge that every manufacturer makes on an independent basis. We feel it's a value-add, and if you give something away that has value, you basically tell somebody it has no value. So I mean, that's the choice we make on every different sale that we have. The difference is going to be is at the end of the day, when you look at what we have from a Crane Care perspective -- you said they've been aggressively adding distributors, that there are other competitors that have been longer-term competitors that also have distributors, so you have to ask yourself what kind of distributors are they're getting? You have the aftermarket support. You have the residual values. You have the financing market. It's the entire package. It's the whole cost of ownership that -- we still have a significant advantage, as do some of our other competitors, over some of the new competitors. So I mean, yes -- I mean, again, I'll go back to the example. It's no different than several years ago, Yongmao coming into the United States with tower cranes. It's no different than Tadano coming into the United States with boom trucks. I mean, there's different competitors in every different year. It's a matter of there's only so much business that's going to go around, and people are very aggressive to get into the markets. I mean, it's competition.
Ann P. Duignan - JP Morgan Chase & Co, Research Division: Yes, it's the power of competitors. Just real quick, I don't mean to hog the call, but just on the Brazil start-up, you'll be starting production mid-2012, but when will you actually report kind of meaningful sales from the Brazil operation?
Glen E. Tellock: The production actually will start early in the second quarter. The real products coming off the line will be in the midyear, so it will be back half of this year.
Operator: Vance Edelson with Morgan Stanley has our next question.
Vance Edelson - Morgan Stanley, Research Division: When you think about the growth outlook for Cranes over the coming year, could you take a stab at sizing the replacement component of that growth versus new orders? Is there any region in particular where you see replacement demand as a major driver in 2012?
Glen E. Tellock: I don't know that it's any different. Probably less, obviously, in the emerging markets than it is in the domestic, like, let's say Western Europe or the United States. But I would say you do hear some comments from customers within the United States that during the last few years, whether it's '08, '09, '10, '11, a lot of product did go to different places, so there is less equipment in the United States as a lot of the used equipment went out. So whether it's because of new projects or it’s replacement of fleets, some for people that had just -- they age their fleet over a certain period of time and then they flip it every so many years, some of them have let those fleets get a little bit older, and so it's a normal replacement cycle. But I don't think it's anything unusual. I don't think that's driving much of it.
Vance Edelson - Morgan Stanley, Research Division: Okay. Makes sense. And I'll ask my follow-up on the Foodservice side, in particular the aftermarket or replacement business for Foodservice. Is there any reason to think that the higher-margin replacement work could become a larger part of the mix in regions like China and so forth as we look into the new year?
Glen E. Tellock: I think when you -- I mean, the whole thing we have on the Foodservice side is the service strategy. And so when you compare some of the things we do in Cranes versus some of the things we do in Foodservice, there is opportunity there. And those are all part of -- again it goes from integration strategy. And I know Mike's team is diligently working on that one aspect of our -- and our strategic imperative is the aftermarket piece. Mike, do you want to add anything on that?
Mike Kachmer: I think the thing to keep in mind is as new stores are built and we get a larger base of stores and associated equipment in these emerging markets, eventually, the part sales are going to pick up. So it follows our historical strategy, and it's going to play out there as well.
Vance Edelson - Morgan Stanley, Research Division: Okay. And then I'll get back in the queue after I ask one more real quick question. Just following the strike, how would you characterize the worker relations right now? Are they worse than normal because of the strike or better than ever because of what was decided? Or is it somewhere in between?
Glen E. Tellock: I think it's somewhere in between. I mean, it depends who you are. Everybody has got their own attitude or opinion. But what I would say is it was very professionally done. It wasn't some of the things you typically hear in Midwestern strike force. I mean, both sides handled it very professionally, and I give a lot of credit to everybody that was involved. Speaking of it, obviously, it was -- came to a culmination in the middle of January. I mean, everybody's -- it was voted by a 2:1 margin. We have 2% increases over the length of the contract. It goes out to the next 4 years. And there is language in there. So you -- we feel good about what it was. I think given the fact that the vote was 2:1, I think, supports that people were satisfied with it. And I think the unfortunate part is what gets lost in this a little bit is it's 200 people of our 14,000 members of the Manitowoc Company. So let's not lose sight of that. I mean, we certainly respect what that group does for us and it's a large piece of the cog in our business, but again, it's trying to -- we've got to take care of the other 13,800 people and make sure everyone is on board with our strategies, with our commitments to the stakeholders that we have and make sure we keep people engaged. So, yes, I think some people are happy, some people aren't so happy. I mean, again, I think it depends where you sit today and -- but we'll get that back. And again, what I would say is these are very professional people. They have a big passion in what they do, they know they build great cranes, and they'll go back to doing it. And we've been through this before. Many of these employees have been here a long time. They've been through it before. And again, I don't see a big disruption from it.
Operator: Next we'll hear from Ted Grace with Susquehanna.
Ted Grace - Susquehanna Financial Group, LLLP, Research Division: I was hoping to begin on the margins and specifically the incrementals that are embedded in your guidance. If my numbers are right, it's kind of looking at 14% incremental margins for the Crane business in 2012. So I was hoping if we could just walk through -- you've talked about the difficulty in pricing and the price increases you've put through. You've talked about the efforts to improve efficiency and costs. You talked a bit about the direct materials. But I was wondering if you could walk through kind of the other elements that underlie that 14% incremental, what the drag from Brazil may be in the first half and just maybe start at that point?
Carl J. Laurino: Yes. The other elements that would be headwind, we also mentioned the ERP, the project one implementation that has been ongoing, although obviously slowed down post recession. And with the ramp-up and the goal lines that we expect to put in place this year, that's going to create, between the combination of that, the incremental cost on Brazil, some of the engineering expense that we're going to have because of Tier IV that Glen and Eric talked about, you're talking about roughly $0.10 of EPS impact to the overall company. So circa $15 million from those issues.
Ted Grace - Susquehanna Financial Group, LLLP, Research Division: And could you just give us a perspective how much of that could be Brazil in isolation?
Carl J. Laurino: Well, the -- obviously, we've had a presence in Brazil, and it's a matter of just ramping up. From an expense perspective, it's really the add that go into having a manufacturing presence there. It's probably on the order of $3 million, $4 million, the incremental expense.
Ted Grace - Susquehanna Financial Group, LLLP, Research Division: Okay. So we'll have $3 million to $4 million on annualized basis or quarter of drag in 1Q and 2Q?
Carl J. Laurino: That's a full year.
Ted Grace - Susquehanna Financial Group, LLLP, Research Division: Okay. That's helpful. And then in terms of just thinking through the same issues, I know the 23% incremental for Foodservices is respectable. Are there any key elements we should also think about that you might not have previously mentioned?
Carl J. Laurino: Certainly plenty of variables that would go into whether or not we would be able to achieve that. As we're looking at the year right now, it appears as though the opportunities that we have for new business rollout, as I call them, seem to be about equivalent to the things that won't recur, that we know benefited us this year and that our ability to drive margin in Foodservice is really going to come from the things that we can do from a pricing product cost take-out standpoint that are really the key drivers to the expectation to drive that margin.
Ted Grace - Susquehanna Financial Group, LLLP, Research Division: Okay. And then just finally on the Crane pricing side, I know you talked about the difficult market conditions. Can you talk about what the pricing carryover into 2012 would be if you look at what -- if you were to annualize your benefits exiting 2011, what that would look like for 2012?
Carl J. Laurino: Well, in total, I would say that the benefit that we would get from the existing and anticipated pricing action and based upon our expectations of the cost for 2012 in total is 50 basis points. And again, it's a headwind in the first quarter and then that benefit comes in the last 3 quarters of the year.
Ted Grace - Susquehanna Financial Group, LLLP, Research Division: Got it. And the last thing I'll ask is, how would you encourage us to think about FX impact for 2012?
Carl J. Laurino: Well, it was headwind in the fourth quarter driven by the U.S. dollar-euro, probably by about $0.05 on the EPS line in the quarter. That probably is relevant for the first half of 2012. And then we're pretty flat from currency as we're looking at it today.
Operator: Paul Bodnar with Longbow Research has our next question.
Paul A. Bodnar - Longbow Research LLC: I wonder if you could give a little bit more detail on the growth in Foodservice. I mean, what kind of -- you're seeing from the overall market? And then, obviously, you're benefiting from, I assume, your new product introductions and I'm also guessing from some expansion in new markets. I wonder if you could kind of give us a little more detail on those latter 2 and how those are benefiting you in '12? Or should benefit you?
Glen E. Tellock: So your comment was on the emerging markets?
Paul A. Bodnar - Longbow Research LLC: Yes. How much of this growth is driven by market expansion versus new product growth?
Glen E. Tellock: Well, I mean, you go to just a general -- I'm going to let Mike talk about some of the specific markets, but when you look at the general industry of what we have in Foodservice, remember that 50%, 55% of all of the Foodservice business is replacement business. So the expansion of footprint is the majority of growth in the emerging markets. When it comes to the mature markets, again, that's going to be the things where you're talking menu changes, productivity, efficiency within the Foodservice location and getting more product through the footprint that you have. So keep that in mind as you go through that new store construction is not the majority of what we have. So with that, I'll let Mike talk about the emerging markets and new products.
Mike Kachmer: Sure. I think referencing quickly Carl's comment about complexity and the number of variables across the Foodservice space, it really does hold true. There's no single silver bullet. But on those 2 dimensions, I mentioned earlier in my prepared comments creating subregions within our organization. And it really is serving to help. By having dedicated sales and service regions focused on smaller geographies like Southeast Asia, India and Latin America, we're putting cost and resources in advance of the growth, but we're seeing the dividends already. So think of resource-focus by emerging markets that have to be coupled with great products. And we again touched earlier on the investments that we've made even through the integration years with an acceleration occurring in 2011. All of the categories that we choose to participate in are getting more than ample investment, so our products will remain best in class, the brands resonate everywhere and when you link that to the resources that we're putting in these regions, our growth will continue to accelerate.
Paul A. Bodnar - Longbow Research LLC: Okay. And just a quick housekeeping question. What should we expect in 2012 for corporate expense in terms of the run rate versus '11? I don't know if you can just give us some quarterly ranges to think about.
Carl J. Laurino: Yes. There was obviously quite a ramp in the fourth quarter, that was driven by some of the equity compensations, the metrics that needed to be true up as well as some other benefit expenses that drove it. But as we look at the full year 2011 and 2012, barring something unusual, it should be roughly flat year-over-year, full year.
Operator: Our final question will come from Robert McCarthy with Robert W. Baird.
Robert F. McCarthy - Robert W. Baird & Co. Incorporated, Research Division: I didn't hear anybody ask about your $150 million to $200 million target for debt reduction for the year. So my first question is, how much of that do we expect to meet from free cash flow?
Carl J. Laurino: All of it.
Robert F. McCarthy - Robert W. Baird & Co. Incorporated, Research Division: All of it. And can you give us some help on tax rate expectations for 2012?
Carl J. Laurino: We're probably looking a little bit better than full year 2011. Full year, probably roughly 40%. We expect a very high effective tax rate in the first quarter because of some of the jurisdictional aspects of the profit and loss, probably well above 50% in the first quarter, but then that normalizes throughout the balance of the year. Full year effective tax rate of roughly 40%.
Operator: That will conclude our question-and-answer session. I'll turn the conference over to Mr. Khail for any additional closing comments.
Steven C. Khail: Before we conclude today's call, I'd like to remind everyone that a replay of our fourth quarter conference call will be available later this morning. You can access the replay by visiting the Investor Relations section of our corporate website at www.manitowoc.com. Thank you, everyone, for joining us today and for your continuing interest in the Manitowoc Company. We look forward to speaking with you again during our first quarter conference call in May. Have a good day.
Operator: That does conclude today's conference call. Thank you for your participation.